Teleflex Incorporated (TFX):
Executives: Jake Elguicze – Senior Director, IR Jeff Black - Chairman and CEO Kevin Gordon - EVP and CFO
Analysts: Jim Lucas – Janney Montgomery Scott Patrick [ph] – Lazard David Chalkley [ph] – FIG Paul Mammola – Sidoti & Company Christopher Warren – Caris & Company
Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2009 Teleflex Incorporated Earnings Conference Call. My name is Katie and I will be your coordinator for today. At this time, all participants would be in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. (Operator instructions). I would like to now hand the call over to Mr. Jake Elguicze, Senior Director of Investor Relations. Please proceed.
Jake Elguicze: Thank you. Good morning everyone. The press release and slides to accompany this call are available on our website at www.teleflex.com. And as a reminder, this call will be available on our website and a replay will be available by dialing 888-286-8010 or for international callers 617-801-6888, pass code 98105977. Participating on today's call are Jeff Black, Teleflex's Chairman and Chief Executive Officer, and Kevin Gordon, Teleflex's Executive Vice President and Chief Financial Officer. Jeff and Kevin will make brief prepared remarks and then we will open up the call to questions. Before we begin, I would like to remind you that some of the matters discussed in this conference call will contain forward-looking statements regarding future events as outlined on slide 2. We wish to caution you that such statements are in fact forward-looking in nature and are subject to risks and uncertainties and actual events or results may differ materially. The factors that could cause actual results or events to differ materially include but are not limited to factors made in our press release today as well as our filing with the SEC, including our Form 10-K which can be accessed on our website. Now I will turn over the call to Jeff.
Jeff Black: Thanks Jake. Good morning everyone. We are pleased to have you join us this morning as we report our results for the first quarter of 2009. It was a mixed quarter for Teleflex in the face of what was an extremely challenging operating environment as we experienced difficulties in some areas, and yet made solid improvements in others. Kevin will take you through the financial results in much detail a bit later; however, let me touch on some of the highlights of the quarter. Coming off a strong fourth quarter, the first quarter saw many adjustments made by our customers in each of our segments as well as stronger than anticipated headwinds from foreign currency. The result was a core revenue decline of 8% in the first quarter of 2009 compared to the first quarter of 2008. Medical core revenues were down 4% primarily due to the reduced sales of our respiratory products, rebalancing of inventory levels at some of our major North American distributors due to the current economic impacts on their businesses, lower sales of cardiac care products and a decline in orthopedic devices sold to medical OEMs. Despite the revenue declines in the first quarter, overall gross margins, excluding special charges, were 41.8%, up 110 basis points over 2008. And adjusted segment operating margins were up 100 basis points to 14.5%. The higher mix of revenues from the medical segment along with the incremental synergies from the Arrow acquisition and cost containment measures in all the segments contributed to the overall margin improvement. Earnings per share excluding special charges were $0.76, up 17% over the prior year. Considering the fact that overall sales for the company including the impact of foreign currency exchange were down 13%, we are extremely pleased with our ability to generate some strong EPS growth. This is a testament to our early recognition in the quarter that since levels were not going to materialize as originally expected and our ability to act quickly to manage our cost structure. And finally, and this is very unusual for Teleflex, our cash flow from continuing operations was a net use of cash of approximately $4 million for the quarter. Clearly our customers and suppliers are focused heavily on Kashmir and the programs and we did not manage our working capital to our own expectations. Believe me, action plans have already been put in place and I assure you that this will improve. Moving on to some of the strategic things that occurred in the quarter, as of today, we have not been visited by the FDA in connection with the Arrow Corp warning letter. We expect the FDA to begin their inspections any time now and feel good about the preparation that we have in place. We have invested in industry experts to assist us, added internal resources where needed, implemented the necessary process improvements and trained our staff. We also remain confident that we will achieve the $18 million to $20 million of pretax synergies from Arrow other integration that we outlined in our 2009 outlook call in early January. Keep in mind that the majority of these synergies are manufacturing related and are expected to be more additive in the second half of 2009. In aerospace, we announced and completed in the quarter the sale of our 51% ownership share in Airfoil Technologies Singapore to General Electric, the owner of the remaining 49% for $300 million. This transaction resulted in an after-tax gain of approximately $179 million or $4.48 per diluted share. The divested business, which we had consolidated in previous years, had annual revenues of approximately $250 million and has been included in discontinued operations for all applicable periods. In the continuing businesses, we experienced push outs in the delivery of certain wide body cargo systems and weaker demand for cargo containers and spares in the face of a declining commercial airline demand. On the narrow body side, we delivered more units in the first quarter of 2009 than in the comparable quarter of 2008, including continued support of the Boeing 737 program and our first system for Bombardier CRJ. We remain well positioned with the cargo platforms we support and expect to deliver a larger number of systems in the second half of the year. In our commercial segment, we completed the sale of our Marine - Gauge business during the quarter, a product line that we had planned to exit in the restructuring program, which we announced in December of 2008. This product line had annual r revenue of approximately $13 million. On the surface, this may not appear to be a significant transaction. However, it provided continued employment for more than 50 of our valued employees. And finally, with the net proceeds that we received as a result of the Airfoil Technologies transaction, we were able to pay down approximately $240 million in debt, thereby positioning our balance sheet for future growth opportunities. When we look at the continuing businesses after the sale of our interest in ATI, we are expecting our EPS before special charges to increase between 4% and 14% in 2009 when compared to 2008. On a comparable basis, our continuing business generates 11% and 34% growth in EPS before special charges in 2008 and 2007 respectively. As the emphasis on the medical business increases, and we see some relief from our current economic malaise, we expect to continue to deliver double-digit growth in EPS performance before special charges. Also yesterday our Board of Directors declared a quarterly dividend of $0.34 per share payable June 15 to holders of record on May 15. We recognized that by not increasing the dividend this quarter, we're breaking a long standing history of annual increases. Yet, we believe it is prudent at this time in light of the significant uncertainty in today's environment to maintain the quarterly dividend at a constant rate for the last two quarters. The dividend provides a current yield of approximately 3.4%. With that, let me turn the call over to Kevin. He can walk you through the financial results in more detail. Kevin?
Kevin Gordon: Thank you Jeff. Good morning everyone. Slide 9 provides a summary of results from continuing operations noting the adjustments related to special charges in the respective quarters. Revenues for the first quarter were $469.7 million, down 13% over the first quarter of last year, 8% excluding the impact of foreign currency translation. Adjusted gross margin for the quarter of 41.8% was up 110 basis points over the first quarter last year, primarily due to a significant increase in truck APU volumes, the first shipment to the US military of the Modern Burner Unit and improvements made in our cargo actuation business. This was offset by the impact of a significant decline in marine volume, a shift in our rigging services business toward additional retail sales, and a mix of overall lower shipset sales within our aerospace cargo loading system business. Medical adjusted segment gross margins were consistent with the prior year quarter. Adjusted operating expenses for the quarter were $128.5 million or 27.4% of sales compared to $147.3 million or 27.2% the prior quarter. The decline in operating expenses was due to synergies achieved from the Arrow integration, cost reductions achieved by each of our segments, reduced corporate spending and the positive impact from foreign currency translation on certain business segments with an offset from higher pension and other postretirement costs. Operating income before special charges was $68 million, down 7% from $73.1 million in 2008. However, adjusted operating margins of 14.5% reflect an increase of 100 basis points compared to last year. Pretax special charges in the first quarter of 2009 totaled $5.7 million and related to the Arrow integration program and the commercial segment restructuring announced in December 2008. And finally operating income was $62.3 million, up 9% from the prior year's quarter, which included transaction related charges for the Arrow acquisition. Slide 10 provides a reconciliation to income and earnings per share for income from continuing operations before special charges. Excluding these special charges, income from continuing operations was $30.2 million or $0.76 per diluted share compared to $25.7 million or $0.65 per diluted share in 2008, an increase of 17%. The first quarter of 2009 included the special charges noted earlier totaling $3.8 million net of tax. Restructuring and impairment costs in the first quarter of 2008 totaled $6 million, net of tax, and were costs primarily related to the Arrow integration. In that quarter, we also recorded a net of tax charge related to the fair market value inventory adjustment of $4.4 million. Turning to the segments, in the medical segment, revenues for the first quarter decreased 9% to $340.5 million. The impact of foreign currency translation was unfavorable by 5% or core revenues declined 4%. The decline in core revenue was predominantly in the North American critical care, cardiac care and OEM orthopedic instrumentation product groups. Our critical care products were down 5% on a constant currency basis. This decline came after a strong fourth quarter of 2008 was primarily due to lower sales of respiratory products in the North American market due to a weak flu season and distributors reducing inventory from year-end 2008 levels. Somewhat offsetting this decline in respiratory sales was the core growth achieved across all regions in our urology product lines and in our anesthesia products in Europe, Asia and Latin American markets. We have begun to see distributor order rates return actually as we begin -- to normal levels as we exit April. Moving to surgical, sales were up 1% on a constant currency basis led by sales of closure devices. Surgical core revenue growth was achieved in the European, Asia and Latin American markets during the quarter. In cardiac, sales were down 10% on a constant currency basis versus 2008. The decline in sales was due primarily to a voluntary recall of intra aortic balloon pump catheters that we initiated in early February of this year. The recall was conducted because of a fault in the connector of the pump tubing assembly that could result in the volume setting on the pump defaulting to an improper level. We notified both the domestic and foreign hospitals and distributors in early February when we became aware of this issue. This recall involved the retrieval of unused products, issuance of mitigation instructions for patients and facilities in critical need, and the replacement of pump tubing assemblies. There have been no reports of patient injury as a result of this issue. We implemented a design change to correct the issue during the first quarter and have now begun shipping replacement product. And lastly from a top line perspective, our OEM sales were down 4% on a constant currency basis versus the first quarter of 2008. During the quarter, the core revenue growth that was achieved in specialty sales was more than offset by the decline in orthopedic sales as some of our larger customers went through some inventory adjustments. Keep in mind that our fourth quarter 2008 core growth in OEM was 34%. We expect this business to rebound in the second half of 2009. Operating profit, excluding special charges, was $70.8 million for the quarter compared to $78.1 million in the prior year. The negative impact on adjusted operating profit from lower revenues and a stronger US dollar was somewhat offset by lower SG&A costs during the current as a result of cost reduction initiatives, including restructuring integration activities in connection with the Arrow acquisition. Adjusted segment operating margin were 20.8%, flat compared to the first quarter of 2008, and up 90 basis points sequentially from the fourth quarter of 2008. Lower spending on our regulatory compliance program totaling approximately $1.7 million in the first quarter of 2009 had a positive sequential impact on margins. Now let us review aerospace. The aerospace segment results reflected continuing operations for all periods presented. The results in this segment reflect the overall macro economic environment and the delays experienced by major aircraft manufacturers. In this segment, first quarter revenues were $43.7 million, down 34% versus the prior quarter of 2008. This was due to a decline in core revenues of 27% and an unfavorable currency impact of 7%. The decline in core revenues was primarily due to one less wide body cargo handling system unit shipped during the quarter due to delays in delivery schedules and a lower overall shipset value of unit shipped during the quarter as a result of the mix of aircraft platforms. In addition, there were lower numbers of cargo systems conversions in the aftermarket and lower demand for cargo containers and spares from commercial airlines and freight companies due to the current weakness in the commercial aviation sector. These decreases were somewhat offset by the continued strong sales of the smaller and lower relative priced narrow body cargo loading systems Jeff referred to earlier. Segment operating profit decreased to $3 million from $4.9 million in the first quarter of 2008 principally due to the lower sales volumes including reduced sales of higher margin status and the stronger US dollar. Cost reduction efforts within the segment are underway and we expect segment operating margins to improve in the second half of 2009 with full year segment operating margins in the upper single-digit range. Moving to the commercial segment, as expected, first-quarter revenues in this segment declined due to a 34% shortfall in volume in marine as compared to the prior year. Revenues for this segment in the quarter were $85.4 million compared to $101.8 million in the prior year. The negative sales trend in marine continued in the first quarter of 2009 as OEM customers extended plant shutdowns and continued to cut back production levels. We do not foresee a turnaround in this market in the near term. In connection with the commercial restructuring plans announced in December of 2008, we expect to have two marine plants closed by the end of the second quarter. In the power systems business, we experienced a significant increase in sales of trucks auxiliary power units compared to the first quarter of 2008. We currently expect truck APU shipments to be up again in the second quarter of 2009 compared to the second quarter of 2008. However, this business has proven to be prone to significant cycles and we expect a more challenging second half of the year. The rigging services business had core revenue growth of 1% in the quarter, down from the growth rates that were experienced last year, principally due to a sales mix focused more on retail versus wholesale customers and the overall reduction in oil and gas and material handling markets. Despite a significant decline in revenue, commercial segment operating profit rose partly due to cost containment initiatives we announced in the fourth quarter of 2008 as well as those taken earlier but also as a result of the favorable currency impact related to the Canadian cost structure of the business as compared to the first quarter of 2008. Operating profit increased to $4.7 million from $2.8 million in the prior year quarter. Segment operating margins for the first quarter were 5.5%, up 270 basis points over the prior year first quarter. Moving to cash flow, adjusted cash flow from continuing operations in the first quarter percentages was a net use of cash of approximately $4 million as compared to a source of cash of approximately $27 million in 2008. Adjusted free cash flow, and please note this is defined as cash flow from continuing operations less capital expenditures, for the first quarter 2009 was a net use of cash of approximately $11 million compared to a source of cash of approximately $20 million in 2008. We invested $7 million in capital expenditures in the first quarter and expect CapEx to be in the range of $40 million to $45 million for the full year. The generation of strong cash flow from operations has been a hallmark at Teleflex. This quarter, we were disappointed with the results, particularly from a working capital perspective. A contributing factor was the rapid drop in sales in certain businesses, which did not allow us to adjust inventories quickly as required. We have already implemented action plans in our businesses to more effectively manage increase and our customers and supply relationships in this challenging environment. We expect our working capital position will improve in the remaining quarters of 2009 and feel confident in our ability to generate strong cash flow from operations for the remainder of the year. Slide 15 depicts the progress in the first quarter in reducing our debt and improving our capital structure. As a result of completing the sale of our share of ATI during the quarter, we were able to further reduce our total debt by approximately $240 million and reduce our net debt to capital ratio to 45.3%, a sequential improvement of 830 basis points. Approximately 80% of our debt is at fixed interest rates while the remaining 20% is at floating rates, principally tied to LIBOR. Our weighted average interest rate was 5.9% at the end of the first quarter. Interest expense net off interest income in the first quarter of 2009 was lower by $4.9 million compared with the comparable quarter in 2008. As the slide shows, we made tremendous improvements regarding debt and have shown the ability to de-lever in a very short period of time. We acquired Arrow only 18 months prior to the end of this reported quarter and since that time we have reduced our total debt by approximately $940 million or 42%, and our weighted average borrowing costs by 100 basis points. As we continue to make improvements, this structure provides additional opportunities to invest in growth initiatives. Slide 16 shows the maturity schedule of our remaining debt. From the net proceeds of the ATI divestiture, we were able to pay without penalty our next six scheduled principal payments under our term loan agreement. The 2002 private placement notes due in 2012, which carried an interest rate of 7.82% and the outstanding balance on the revolver line of credit. We currently have no quarterly installments due until September 30, 2010, and have no outstanding borrowings under our $400 million revolving credit agreement. Needless to say, we have made excellent progress reducing our outstanding debt and in today's environment are pleased with our current position. Turning to our 2009 outlook, we like others are seeing trends that may negatively impact some of our businesses. However, we expect top line core revenue growth in our medical segment to improve as we move through the year and the cost containment initiatives that we have been putting in place in our aerospace and commercial segment to continue to pay benefits. We are also well positioned to drive organic medical revenue growth through investments in medical R&D. Thus, we continue to expect our 2009 full year diluted earnings per share from continuing operations excluding special items to be in the range of $3.25 to $3.55 per share. Special charges, which relate entirely to the Arrow integration, the commercial group restructuring announcement in December 2008, and the loss on sales of the Marine-Gauge business in the first quarter are currently forecasted at $0.30 to $0.40 per share. Earnings per share from continuing operations available to common shareholders including special charges are expected to be in the range of $2.85 to $3.25 per share in 2009. Finally, and as I stated earlier, we expect to make improvements in our working capital throughout the remainder of the year and we are reaffirming our full year 2009 adjusted cash flow from continuing operations guidance of $210 million to $220 million. With that, let me turn it back to Jeff.
Jeff Black: Thanks Kevin. Well, clearly, you can tell that the first quarter of 2009 was a mixed one for Teleflex. Like many companies, we experienced significant headwinds from foreign currency and saw a slowdown in core revenues during the quarter. And we did not execute well in our management of working capital. That said, we have already taken action here and are progressing in support of the achievement of guidance that we have provided on this call. We are closely monitoring our costs in all of our businesses and will take further action as necessary. On the positive front, we generated 17% year-over-year growth in EPS before special charges and continue to leverage our cost structure to maximize profitability and we made significant reductions in our outstanding debt. In closing, let me make some comments regarding expectations for each of our segments. For the full year, we continue to expect medical to deliver low to mid single digit core revenue growth and an adjusted operating margin that will exceed 20% for the year. We will also continue to make investments in both R&D and our sales initiatives. Specifically, our R&D sales efforts will be focused on expanding the antimicrobial technology across some of our product lines beginning with our Arrow [ph] line first. The investments we plan to make in 2009 will begin to materialize with new product introductions in 2010. We will not sacrifice the long-term strategic goals in the organization in light of the unprecedented macroeconomic environment in which we are operating in. We continue to seeing opportunities in the medical segment as a key driver of our overall business and we will allocate the necessary resources to drive revenue growth through investments in R&D as well as bolt on acquisitions. Turning to our aerospace and commercial segments, we expect continued revenue challenges due to increased uncertainty in several of the end markets served. However, we expect the revenue shortfall to be mitigated through various cost containment initiatives that are already well underway. And as Kevin stated earlier, we are reaffirming both our expected EPS excluding special charges and adjusted cash flow from continuing operations ranges for the full year of 2009. And finally I'd be remiss is if I didn't take the opportunity to thank all of the employees of our former ATI and Marine-Gauge businesses for all of their hard work and dedication and supporting our shareholders over the years. We wish them continued success with their new companies. Thank you very much for joining us this morning. With that I will turn it back over to Jake for questions.
Jake Elguicze: Operator, we would like to take questions now.
Operator: (Operator instructions). Your first question comes from the line of Jim Lucas with Janney Montgomery Scott. Please proceed.
Jim Lucas – Janney Montgomery Scott: Good morning guys.
Jeff Black: Good morning Jim.
Jim Lucas – Janney Montgomery Scott: Kevin, two numbers questions first. You give us a CapEx, what is D&A expectation for the full year?
Kevin Gordon: D&A should be somewhere in the 112 range.
Jim Lucas – Janney Montgomery Scott: All right. And the improvements you made on the tax rate in the first quarter, since this was our first look at the ex-ATI. Where do you expect that tax rate now to come in for the full year?
Kevin Gordon: We are expecting to be somewhere in the 30% range.
Jim Lucas – Janney Montgomery Scott: Okay. And switching gears, if we start on the aerospace side, just that we can flush out a little bit more color, on the new CRJ, is that an OEM that you were referring to as opposed to an aftermarket conversion?
Kevin Gordon: Yes, it is.
Jim Lucas – Janney Montgomery Scott: Okay.
Kevin Gordon: It is a – I mean the CRJ plane is actually produced by Bombardier. We developed a narrow other body system for that through our Swedish operation and delivered the first unit with more to come.
Jim Lucas – Janney Montgomery Scott: Okay. But from an aftermarket conversion, not yet?
Kevin Gordon: No. It is OEM delivery.
Jim Lucas – Janney Montgomery Scott: Okay. And on the medical side, you alluded to it in the prepared remarks, but the comment about seeing an improvement in orders, looking at the inventory de-stocking in the first quarter, could you just maybe flush out a little more color of what you're seeing on the inventory side with your customers and expand on the order comment?
Kevin Gordon: Yes. I think what we saw a lot in the first quarter Jim in particular, it seemed to happen pretty quickly early in the quarter. Some of the distributors, particularly on the respiratory side had stocked up pretty significantly for what people were hoping would be a better flu season than it was. So I think we saw a lot of inventory there. We saw a rebalancing of that inventory throughout the first quarter. And as a result of that, that created weakness here in the North American market. So it is two things. It was the flu season itself and then it was the inventory build and the restocking at the distributors. But as we moved through the month of April, we started to see some of those major distributors return to order levels that are more in line with what they have done historically.
Jim Lucas – Janney Montgomery Scott: And so principally on the respiratory line, any other product line that you are seeing?
Kevin Gordon: We saw it on respiratory predominantly and in our critical care side with some of our vascular access products.
Jim Lucas – Janney Montgomery Scott: Okay. And then you know it is ironic to be talking about flu with all the headlines going around these days, and finally on the commercial side, within the APU, how much of that has been demand driven versus just restocking?
Kevin Gordon: I would say -- I think you can -- it is pretty evident. If you look at the cycles, Jim, in the business, we seem to be ebbing and flowing here with big numbers. And as fuel prices really escalated high early part of last year, the order rates really came in extremely strong. We delivered a lot of units in the fourth -- in the third and fourth quarter last year, principally fourth, and then the early part of this year. But fuel prices have gone back the other way pretty significantly. So I think you're right in that you will see some of the distribution channel balance its inventory out again in the second half. Of the year.
Jim Lucas – Janney Montgomery Scott: Okay. Great, thank you.
Operator: Your next question comes from the line of Patrick [ph] from Lazard. Please proceed.
Patrick – Lazard: Hi guys. Can you hear me okay?
Jeff Black: Yes. Good morning Patrick.
Patrick – Lazard: Thanks for taking the call. My first question was on the guidance. If I just use simple math and annualized the $0.76 you posted this quarter, I get to the midpoint of your range, and historically it seems like 1Q has been weak for earnings. Is there and you talked a little bit about things recovering in the back half of the year, particularly in medical. Could you maybe help bridge us to how you go from $0.76 this quarter through the rest of the year?
Kevin Gordon: Well, Patrick, I think it is – you know we don't actually give quarterly guidance. We gave annual guidance and that is what we have provided to you today. From a bridge standpoint, maybe you can be more clear what you actually looking for.
Patrick – Lazard: All right. I guess is there any particular part at which we should be looking for significant upside or are we looking at a relatively stable run rate because historically it seems like first quarter EPS numbers have been considerably lower for seasonal reasons than 2Q, 3Q and 4Q. Is that seasonality this year?
Kevin Gordon: I think we try to remark a little bit about that in the script. I think if you look at the map, I think you said you get to the midpoint of our range. Our range is 3.25 to 3.55. But if you take the first quarter and analyze it, you're getting a little bit over $3. So I think that would give you the indication that as we move through the second half of the year with some of the improvements that we expect to see in the growth rate and the revenue as well as some of the added synergies in the second half that we talked about, you're going to see a stronger fourth quarter, a stronger second half, definitely, than the early part of the year.
Patrick – Lazard: All right. Great. Thanks. And then as far as some of the -- you mentioned that a lot of your customers on the medical side have this new cash preservation mentality and you have highlighted a couple of the areas where you saw orders returning to historical levels in 2Q. Is that really broadly across the board or are there areas where you still think that cash management may pressure medical and critical care in particular for the rest of the year?
Kevin Gordon: Well I think – Patrick, I think in our comments, clearly the orthopedics were down for the quarter and again that's been a fairly lumpy business. But I think the rest of it, we feel pretty good about going forward. We also obviously talked about a better second half in our aerospace, especially on the cargo side. So I think if you're going to see some change, that is where it would be.
Patrick – Lazard: All right, great. And the last question I have got is, we are about six months into this CMS reimbursement law change around catheter based infections, have you guys seen or heard from any hospitals that have not been paid by CMS for a reported catheter based infection?
Jeff Black: No, we have not. But I will tell you that again I think as we talk to investors, you know we are doing more of these clinical symposiums where again infection control is one of the driving forces. But I think what we saw, if you look at last year, that's 2008, clearly the hospital administrators and everyone in the hospital was trying to deal with the new guidelines for infections. I would tell you what we've seen in so far in 2009 is hospitals are doing everything they possibly can to save costs. And that is their bottom line. So I think that is as much an opportunity for us because literally we are able to walk in there and what used to take probably a 6 to 10 months selling cycle, walking in now into some of these hospitals, we have found them to be much more receptive to our products and again more willing to get you in and get you approved, especially if there are some savings for the hospital. So we just see that hospitals are in a survival mode but infection is still right up there in the forefront, but it does come I would say right after protecting their bottom line.
Patrick – Lazard: Thanks for taking the questions.
Operator: Your next question comes from the line of David Chalkley [ph] from FIG. Please proceed.
David Chalkley – FIG: Thanks. Looking at the gross margin in the quarter, I know you mentioned some of the synergies that you have already gotten from Arrow, do you think we would stay in this kind of 42 range looking ahead or can we see that go even higher?
Jeff Black: For the short term, David, I think we are probably in the range that you see here. As we mentioned, the synergies that are principally remaining to come from the Arrow acquisition are manufacturing related synergies which would affect gross margin. But you really don't see those kick in until the end of this year and into 2010. So in the short-term, I think this overall gross margin rate is pretty reasonable.
David Chalkley – FIG: Great. And glad to see the cash flow guidance maintained, but given the first quarter results, your commentary on things put in place for working capital improvements, can you maybe give us a little bit more detail on exactly what that is? I have to imagine collecting from customers is even more difficult in this environment, so if we're still looking for 2010 at the low-end, looking at kind of a negative number here, what specifically are you doing to improve that, or how do we get some kind of that we are today to the big jump we will need to get to that range for the year?
Jeff Black: There is a couple of major issues and I think Jeff's comments just a moment ago corresponds to the last question. It is not just within healthcare that we had some of the issues. So, in healthcare, we talked about some of the drop-off in sales and a rebalancing of inventories. We just can't shut off our inventory inflows with lead times that quickly to adjust to those levels. So we will be working through some inventory in a couple of areas, principally in the medical. North American medical business is one area, as well as in the aerospace business. With the deferrals in some of these major systems, you can imagine that if a systems sells for $2 million to $2.5 million dollars, the related imagery to that for with the deferral to the second half of the year or a little bit later than originally anticipated on long lead item builds inventory. So there is definitely inventory programs in place that are going to manage that. In addition, from a receivable perspective, you're absolutely right. It is becoming more and more challenging in this market where we saw more of the issues with respect to receivable growth was in markets where we typically would do a fair amount of factoring in some of European locations and so forth. And we just didn't do that to the extent that we normally would. So there are some relatively I think easier fixes that we can get at quickly and then there is obviously the more challenging ones of just operating in today's environment. But you will know when you look at the balance sheet that a fair amount of the working capital drain also came out of the liability side which we clearly have a bit more control over in working our suppliers.
David Chalkley – FIG: No, I didn't notice that. That was a big number. The last one from me, FX, what have you included in your plans here, what kind of assumption do you make, and when does it kind of either come tailwind instead of a headwind or how should we look at that for the rest of the year?
Kevin Gordon: Well, for the guidance that we gave you, we are assuming the euro which is in principle one that impacts us the most here is in the low 130s, so about where it is. We are slightly higher than maybe where it is today is what is baked into that guidance and it doesn't become a much easier comp until at least before the quarter.
David Chalkley – FIG: Excellent.
Kevin Gordon: At that range, okay.
Operator: (Operator instructions). Your next question comes from the line of Paul Mammola from Sidoti & Company. Please proceed.
Paul Mammola – Sidoti & Company: Good morning everyone. How much of the sales decline in medical in North America is due to price if any?
Kevin Gordon: At this point, Paul, I would say it is very little if much at all. I think most of the decline is the way we've characterized in our remarks, it is some of that rebalancing in particular. But we have not experienced, at least in the first quarter, any significant price issues.
Paul Mammola – Sidoti & Company: Okay. On the material side, was there a raw material benefit in 1Q, and what should be the expectation for 2Q? I would expect it is incremental if anything?
Kevin Gordon: Yes. I would expect – I mean 2Q is not going to be any more incremental in the first quarter. Compared to last year, there was a bit of an upside in the resin stuff.
Paul Mammola – Sidoti & Company: Okay. You talked a little bit about the FDE remediation. Given that that has been delayed, am I clear that the back half or your expectations for the best half have not been altered by that delay up until this point?
Kevin Gordon: That is correct.
Paul Mammola – Sidoti & Company: Okay. How much in percentage terms do you think is left to gain from converting Arrow sales to direct rather than through distribution?
Jeff Black: We still got a ways to go, Paul. I would say I think we still expect to see a lot of those synergies in 2010. So I think we are still a long ways from seeing those drop into the synergies.
Paul Mammola – Sidoti & Company: Okay. And finally, it may be early, but do you have any thoughts at this point as to what the domestic medical reform would do to pricing in the one-time use space?
Jeff Black: Well clearly it is going to put pricing pressure on the entire system. Again, if you take a look at where our products fall, we're probably pretty far down on a bill of materials procedure, but there's no question that we would anticipate there will be pricing pressure, but again and that takes effect. The offset to that is, if the president all of a sudden insures 46 more million Americans, we think that would drive up procedure. So some of this is volume versus price. It is really too early for us to get our model out and be too definitive, Paul.
Paul Mammola – Sidoti & Company: Okay. Thanks for your time.
Jeff Black: Okay, thank you.
Operator: Your next question comes from the line of Christopher Warren from Caris & Company. Please proceed.
Christopher Warren – Caris & Company: Hi. Thanks for taking. I had a question on AeroGuard central venous catheter line, was that revenue growth in the quarter above, in line with, or below the segment in which it gets reported?
Kevin Gordon: Just the AeroGuard itself, the coated catheter itself?
Christopher Warren – Caris & Company: Yes please.
Kevin Gordon: I would tell you that I will just give you the overall vascular access component, Chris. That is the best way I can do it. I don't really have it by product line, but it was actually slightly better than the overall medical critical care rate.
Christopher Warren – Caris & Company: And are you seeing in that any potential incremental up tick of the anti-infective coating?
Kevin Gordon: We Have. I think you will recall that probably when we started talking about Aero, we talked about a penetration rate on the coated catheter in North America being about 60% rate and today we think that penetration rate is closer to the 70% rate. So we are seeing much more of a shift or some shift that is driving that market share penetration rate by almost 10 percentage points.
Christopher Warren – Caris & Company: Okay thanks. That is very helpful. I wanted to ask also on the intra aortic balloon pump side, are the adjustments which you made associated with the voluntary recall pretty much in the rear view or should we expect maybe some dislocation going forward?
Kevin Gordon: Well, we certainly took what we thought we needed to take as of the first quarter and that is what we're required to do, we did that. We are still working on having some product come back from the market, we don't have total visibility to exactly what was out there in the market, but we are running the program the way we think we need to. So to the extent that there is product that comes back because I think it'll be more of a replacement issue than anything else. But clearly with the size of the product line, we do not expect it to have a real material impact from a financial standpoint.
Christopher Warren – Caris & Company: Thanks. And one last question on the medical side, just looking at your OEM business, is there a way you could help us understand how this final part of that business grew relative to the overall?
Jeff Black: On the orthopedic site?
Christopher Warren – Caris & Company: Yes please.
Jeff Black: That business is principally spine related. So to the extent that we were down, the 4% that we talked about in early March, it was principally related to the spine area.
Kevin Gordon: But I think, Chris, we commented in the fourth quarter of 34% growth rate that we were surprised that a lot of that growth was in the ortho space. So again I think it is indicative of being an OEM supplier. I mean you're going to get bulges and you are going to get pretty deep valleys.
Christopher Warren – Caris & Company: But you wouldn't use this quarter results to suggest that maybe there was a slowdown in the end market for the spinal procedures, correct?
Jeff Black: No, we would not.
Christopher Warren – Caris & Company: Okay. Thank you very much. I appreciate it.
Jeff Black: You are welcome.
Operator: (Operator instructions). At this time, we're showing we have no further questions. I would like to now hand the call back over to Mr. Jake Elguicze. Please proceed.
Jake Elguicze: Thank you, and thank you everyone for joining us today. This concludes the Teleflex Incorporated first quarter 2009 conference call.
Operator: Ladies and gentlemen, thank you for your participation in today's conference call. You may now disconnect. Have a wonderful day.